Operator: Greetings, and welcome to The Very Good Food Company Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jordan Rogers, Chief Commercial Officer. Thank you, Jordan. You may begin.
Ana Silva: Thank you, operator. Good morning, everyone, and thank you for joining us today for The Very Good Food Company's fourth quarter and fiscal 2021 financial results conference call. I am Ana Silva, President and Interim CFO. After these remarks, we will hold a live question-and-answer session. To submit a question, please log into the webcast via our website and click Ask A Question button. A replay of this call will be archived on the Investor Relations section of VERY’s website at www.verygoodfood.com/investors until April 30, 2022. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked constitute forward-looking statements within the meaning of Canadian and U.S. securities laws and they are subject to the risks and uncertainties relating to The Very Good Food Company’s future financial or business performance. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. These risks and uncertainties are detailed in VERY’s Annual Information Form for the fiscal year ended December 31, 2021, filed with Canadian securities regulatory authorities and are available on VERY'S SEDAR profile at www.sedar.com and is also furnished on a report on 6-K with the SEC. Forward-looking statements made on this call are made only as of today and will not be updated as events unfold other than as required by applicable security laws.  Please also note that on today's call, management will refer to adjusted EBITDA and adjusted general and administrative expenses, which are non-IFRS financial measures. While VERY believes that these non-IFRS financial statements provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. For definitions and reconciliations of the non-IFRS measures discussed to the relevant reported measures under IFRS, please consult our 2021 MD&A filed on SEDAR and with SEC. I will start now by giving an overview of 2021 and Q4 2021 and discuss some of the milestones we have achieved along with some of the challenges. I will then go into more detail about our financial results and our plans for the near term.  I am very proud of our teams and the milestones we were able to achieve last year despite the many challenges the organization faced. Our 2021 strategy is focused on 4 key areas: investment in scaling our business, deeply brand awareness, building relationships in wholesale, and launching new innovative products. In the past, our sales were constrained by our production capability, which was alleviated through the successful commissioning of Line 1 in our Rupert Facility in Q1 2021, with sellable product beginning in Q2 2021. With Rupert Line 1 fully operational, we were able to deliver record 4Q revenue of $4.3 million and annual 2021 revenue of $12.3 million, which represents year-over-year increases of 134% and 164%, respectively. Another key contributor to our revenue growth in 2021 was increasing brand awareness and customer engagement. Digital marketing costs to acquire new customers increased significantly over the past year, largely related to structural changes in the largest digital and social platform. Despite higher costs, VERY deliberately chose to continue its digital marketing campaigns and e-commerce offerings in 2021. We view this as a short-term investment to facilitate the long-term success of our brand and to help prove out the demand for our product with new retailers. This strategy proved successful in both company brand awareness and increasing the number of stores that carry out our products. While this resulted in higher costs for 2021, we are well-positioned to execute our long-term strategy, which is focused on the U.S. wholesale and food service channels.  At the end of 2021, our products were in a total of 1,395 stores, and we had a total of 4,847 total distribution points being the total number of SKUs sold at each store, which represents a year-over-year increase in distribution points of 273%. As of March 31, 2022, we had approximately 5,539 retail distribution points in 1,651 stores across North America. As innovation was one of our key initiatives in 2021, VERY GOOD announced its gluten-free and soy-free Butcher’s Select product line, initially consisting of 5 SKUs in July 2021. The Butcher's Select product line will diversify VERY GOOD’s portfolio as plant based meats and position The Very Good Butchers brand in the alternative meat substitute category where products are created to directly stimulate their animal-based counterparts. The Meatballs product from the new line won the NEXTY award in the Best Frozen Product category, which recognizes outstanding new product in the natural products industry. In October 2021, VERY GOOD announced 2 additions to the Butcher’s Select product line, Butcher’s Select Spicy Meatballs and The Very Good Steak. As I previously mentioned, 2021 was a year of investment, investment in our brand and in our long-term strategy. In 2022, we are transitioning from a focus on top line growth to a focus on balancing top line growth and profitability. One key change you will see in 2022 relates to our online strategy and marketing expenses. VERY is now well positioned to leverage our brand awareness and relationship with wholesalers. As a result, we are decreasing our marketing expenses to optimize our return on investment. We expect this cost reduction will lower e-commerce sales, however, bottom line profitability will improve. As announced on March 16, 2022, VERY is also working through several cost improvement opportunities to bolster liquidity and establish a clear path to profitability. We have identified and are working through several cost saving initiatives including procurement, supply chain efficiencies, CapEx deferrals and lower SG&A spending. As announced on April 4, 2022, Mitchell Scott’s employment as CEO was terminated and James Davison has resigned as the CRDO and Member of the Board of Directors as of April 1, 2022. In lieu of immediately filling the role of CEO, VERY GOOD has temporarily created an executive committee to assisting senior executives from leading the company. The executive committee structure that will be used by the organization to review and approve key organizational, financial, operation and strategic decisions for the company by drawing upon the collective knowledge, experience, business acumen and skills of the senior management team. As such, a new Chief Executive Officer is being initiated by the Nomination Committee with the help of a leading Vancouver based recruiting agency.  We are at an important juncture and are taking decisive steps. Our focus is to continue to build on our brand and reputation and grow our market share in the plant-based meat segment, while optimizing our operations towards adapt to profitability growth. Although we are experiencing some near-term liquidity challenges, we will continue to invest in the core parts of our business and remain confident in the growth trajectory for VERY. We believe the optimization initiatives that we are currently implementing will help VERY on its path to profitability.  In fiscal 2021, we achieved revenue of $12.3 million, representing a 164% increase from the same period in fiscal 2020, primarily driven by an increase of $5.9 million in e-commerce sales and $1.6 million in wholesale revenue due to the company's scaling of production and distribution to meet demand in both sales channels. $5.3 million of revenue was attributed to United States sales due to the company's strategic focus on the USA market as a key growth opportunity for the future. In Q4 2021, we achieved revenue of $4.3 million as compared to $2.4 million in Q3 2021, representing a 70% increase. E-commerce orders fulfilled in fiscal 2021 were 100,473 exceeding the 40,322 orders fulfilled in the same period of fiscal 2020 by 149%. This increase was driven by the scaling of production and distribution to meet demand and increasing key marketing initiatives to drive higher sales volume in both Canada and in the U.S. Wholesale revenue increased 189% to $2.4 million in fiscal 2021 compared to $840,000 in the same period of fiscal 2020. Wholesale revenue was $781,000 in Q4 2021, a decrease of  compared to Q3 2021. This quarter-over-quarter slight decrease was largely due to large seasonal orders being placed in pipeline orders for on-boarded new retailers in Q3 2021.  The year-over-year growth was largely driven by an increase in our sales distribution points where we added 3,547 points since fiscal year-end 2020 and 296 distributing points since the end of third quarter of 2021. As of March 31, 2022, the company had approximately 5,539 retail distribution points in 1,651 stores across North America. Adjusted general and administrative expenses increased 215% to $14.1 million in the fiscal 2021 compared to $4.5 million in the same period in fiscal 2020. Adjusted G&A expenses was $5.7 million in Q4 2021, an increase of 45% compared to $4.0 million in Q3 2021. The year-over-year increase was primarily driven by increased insurance fees of $484,000, legal and professional fees of $388,000, accounting and audit fees of $356,000, and salaries and wages of $1.9 million.  Marketing and Investor Relations expense increased 248% to $11.3 million in fiscal 2021 compared to $3.2 million in fiscal 2020, mainly due to an increase in digital marketing initiatives of $6.4 million, wages and benefits of $764,000 and share-based compensation expenses of $856,000 due to the expansion of the marketing team to support sales growth. Marketing and Investor Relations expense increased 101% to $4.4 million in Q4 2021 compared to $2.2 million in Q3 2021. Adjusted EBITDA loss was $2.3 million in the fiscal 2021 compared to a loss of $8.3 million in the same period of fiscal 2020. In Q4 2021, adjusted EBITDA loss was $5 million compared to $8.2 million in Q3 2021. Net cash used in operating activities for fiscal 2021 was $41.9 million, while net cash used in investing activities for the same period was $16.7 million. The net cash used in investing activities was primarily used for capital expenditures and leasehold improvements incurred for the commissioning of the Rupert Facility. Net cash received from financing activity for fiscal 2021 was $55.5 million, mainly attributable to $52.7 million from the issuance of units, $2.4 million received from the exercise of common share purchase warrant and $120,000 received from the exercise of options. This was partially offset by payment of lease liabilities of $1.6 million with repayment of loans payable and other liabilities of $903,000 and deferred financing costs of $2.3 million. During the fourth quarter, we closed a registered Direct Offering for the gross proceeds of USD30 million. We intend to utilize these funds to scale our operations, expand geographic reach for research and development, for marketing initiatives and for general working capital purpose. As of December 31, 2021, VERY GOOD's cash balance was $22 million, and it's now approximately $5 million. VERY believes that the initiatives we are implementing will have a positive impact on our cash runway, and we are looking at ways to improve our cash position with as little dilution as possible. On November 16, 2021, the company entered into agreements with the CEO and CRDO to provide individual loans. The CEO loan of $750,000 was repaid in full as at December 31, 2021, and the company received interest of $2,772. On February 4, 2022, the company entered into a Share Pledge Agreement with the CRDO, whereby the CRDO pledged 1 million common shares of the company as a security for the loan. As of today's date, the pledge shares have not been disposed off by the company and the balance of the CRDO loan remains outstanding. For details regarding both loans, please refer to  in the most recent financial statements. On January 11, 2022, VERY GOOD received notification from the Listing Qualification Department of NASDAQ that for the previous 30 consecutive business days, the bid price of the common shares had closed below the minimum US$1 per share requirement for continued inclusion on the NASDAQ Capital Market. The NASDAQ notification has no immediate effect on the listing of the common shares and does not affect the company's compliance status with TSXV. We are confident in our strategy and believe we will organically regain compliance before the deadline, which is July 11, 2022, subject to additional expansion periods as we may negotiate with NASDAQ. However, we are committed to review all available options to resolve deficiency and regain compliance with the Bid Price Rule. In conclusion, 2021 was a strong and challenging year for VERY as we drove 164% revenue growth in a difficult macro environment. We have made and continue to make progress against many key initiatives that will set up our organization for continued success. As we go forward, we will continue to execute against the strong set of strategies that will help us to further drive our top line growth by expanding our distribution points and improving our customer and consuming marketing model. And while we expect some volatility in the next couple of quarters as we set these initiatives and work to improve our operations, our long-term growth thesis remains intact as we continue to lead and innovate with the plant-based food industry. This concludes our prepared remarks. Operator, we are now ready to open the call for questions.
Jordan Rogers: We are grateful to have everyone on this call. My name is Jordan Rogers, and I have the privilege of serving on the newly formed executive committee as Chief Financial Officer. I have with me here today, Kevin, who is our newly appointed VP of Sales, North America. Parimal, who is assuming the role of VP of Operations; and Steven, our Financial Controller. Ana, who you heard from on the pre-recorded section of this call, was unable to attend this Q&A session. Our customers, employees and shareholders are critical to helping us achieve our long-term plans, which I will speak to briefly today. We see you, we hear you and welcome your feedback on a go-forward basis. In 2016, our company launched the Victoria public market with much fanfare and we sold out of our initial products in only a few hours. Our customers rewarded us by purchasing our line of innovative plant-based meat products made using authentic ingredients that taste great making plant-based eating easy, while positively impacting the planet. Fast forward to 2022, we have continued to deliver on our customer promise of making healthy, great-tasting burgers, sausages, Taco Stuff’er and seasonal items like the Beast.  With strong repeat purchase orders, same-store sales growth and quarterly revenue increases, consumers can now enjoy our products in over 1,800 retail locations across Canada and the United States. Yet, there is still a lot more work to be done. Our VERY team members are at the heart of our business and our loyal consumers help us drive to be better every day. Our team has faced many challenges and shown resilience, agility and strength to overcome and deliver upon the many directives that were asked to them. At times, certain directives and decisions have led us away from the core of the business. Along the way, we have grown very quickly from 70 team members last year to over 200 this year. With growth, can come many opportunities and also challenges. Some of those challenges have led us to decisions that have taken us away from our plan.  The executive committee members on this call today are determined not only to speak, but also to act upon our core values that lead to mutual respect in an obligation to be the best that we can be for our stakeholders. Our team has 3 immediate priorities: First, execution of a refocused strategy provided by the Board of Directors and a transition into a culture of operational excellence, focused on sustainable growth and profitability. Our mission remains the same; to get millions to rethink their food choices while helping them do a world of good. Second, we plan on increasing retail and food service distribution points with a focus on wholesale business. Third, focus on short-term priorities while renovating our core portfolio and being strategic in our product innovation ambitions to disrupt the market, which is in line with our long-term strategy. Thank you.
A - Janet Meiklejohn: So the first question, and Jordan, I think this ties back in with what you just concluded on, but it says with -- and this comes from an investor. With the change in leadership, with James as Head Chef and Chief Researcher, how is the team focusing on not only growing but also improving and innovating on the SKUs?
Jordan Rogers : Thank you. That's a great question. Our team is very strong in terms of not only back of house, but on the research and development side, and we're quite confident that we will be able to continue on with what James had provided and improve upon that driving us forward.
Janet Meiklejohn: Okay. Thank you, Jordan. Question 2, I believe this is for Kevin. Following the increase in production capacities, how does Very Good Food intend to increase the number of stores carrying their product and how many new stores can be expected in Q2. If onboarding of new stores proves difficult, will high-margin SKUs be prioritized and which ones are those?
Kevin Callaghan: Great question, and thank you for allowing me to join this call. Let me tackle the first part. How does -- we intend to increase the number of stores carrying future capacity. Over the past year, our sales team has grown. We brought in 8 regional managers to cover North America, 3 in Canada and also 4 in the United States. Over that year, we have been hitting many opportunities and category reviews at major influential retailers. So with that, we are hitting every opportunity possible in the natural, conventional and also the club channels, providing the great products that the VERY brand offers. We've also hired a Director of Foodservice to kind of -- to manage this untapped channel for us. Michael Hoeksema joined the company 4 months ago, and he has already partnered with some key foodservice, I guess, outlets, that we hope to announce very soon. As for the next question -- part of the question, if onboarding the new stores proves difficult, how many SKUs -- or what will be our strategy in terms of SKUs. Onboarding has not been difficult. We've launched into the U.S. a little over 8 months ago. We have not even gone over a full cycle calendar year with the -- in the pre-recorded call, we've had much success in terms of launching into new stores. So the onboarding new stores have not proved difficult. And with the increased capacity that we've unleashed with Rupert and our other facilities, I look forward to filling those lines and making sure that they run at full capacity.
Janet Meiklejohn: Thank you, Kevin. Again, back to Jordan. With the cost-saving practices that are being implemented, why was the decision made so late on implementing them? Was it blocked from the CEO and leadership? Or was there another holdup? And going forward, how do you intend to make this process more transparent?
Jordan Rogers: Thank you. That's a great question. We're looking to understand this better as well internally, and we can provide some more information at a later date.
Janet Meiklejohn: Okay. Great. Then let's move on to the fourth question. Have the personal loans been reimbursed? And are the -- have the personal loans being reimbursed and where are we at on that process?
Steven Hoang: I think I can answer that, Steven here. So Mitchell Scott's personal loan has been reimbursed as of December 31 but the loan to the CRDO remains outstanding as of today. But however, on February 4, the company entered into a Share Pledge Agreement with the CRDO whereby the CRDO pledged 1 million common shares of the company. As of today, the pledged shares have not been disposed off by the company. And then if there's any additional details required, they should be -- they're definitely found in Note 14 on the financial statements.
Janet Meiklejohn: Thank you, Steven. And over to you, Parimal. It's perceived -- again from a -- a question from a private investor. It's perceived that you have too much capacity. Will you be closing the Victoria plant, Patterson plant and doing everything out of Rupert? 
Parimal Rana: We are currently looking at the capacities of all 3 locations, assessing which plants could be consolidated based on financial stability. We want to make sure that we make the right decisions moving forward. And so we are going to take some time and not weeks or months, but fairly quickly here to decide on which locations can consolidate. We are also considering sort of the implications of leases at that point.
Janet Meiklejohn: Thank you. Again, another question from an investor. How much investor money was lost -- Steve, this probably goes to you. How much investor money was lost to Mitchell's pockets before he was terminated?
Steven Hoang: So exactly this compensation is disclosed publicly. I just want to reiterate that. Neither Mitchell or James were fulfilling the service as of their termination and the departure from the company. Any unexpected or unexercised options will expire within 90 days of their departure.
Janet Meiklejohn: Okay. And Jordan, I guess -- and this is another toughie, but I'll throw it over to you. How did you let the stock price drop so badly without trying to keep investor confidence?
Jordan Rogers: Yes. Indeed, that's a great question. I think the spirit that we're trying to move towards is being in front of our community and being as open and as available as we can.
Janet Meiklejohn: I'm not sure who this goes to, Jordan, again, it might be you. What is the strategy on the restaurants on a go-forward basis?
Jordan Rogers: Sure. I'm happy to tackle that one. So our Victoria restaurant has performed exceptionally well. We have tremendous 5 Star reviews, and we're really focused on that facility and have some exciting plans down the road for it, but we are focused on the Victoria restaurant for the time being.
Janet Meiklejohn: Great. And Steve, I think this one is over to you. Has the company already applied for an extension with NASDAQ virtually regarding the dollar requirement? If not, will reverse split be an option to maintain compliance with the requirement or are we considering -- or are you considering a delisting as a viable option?
Steven Hoang: Okay. Thank you. No, we have not placed for an extension as of yet. We have until July 10. And we're hoping that our new strategy will help us organically regain compliance. However, we're always committed to we bring all available options to resolve the deficiencies and are in compliance with the bid principle.
Janet Meiklejohn: Kevin, this is going to go over to you. And why has the company not been able to land a major grocery deal, will we clarify that one?
Kevin Callaghan: Okay. Yes. Great question. In terms of a major grocer deal, we've done a great job in establishing listings in Raley’s, Erewhon, Earth Fare, to name a few. As we go through the category review process, sometimes it takes time. We launched into the U.S. 8 months ago, where a majority of our category views at these major retailers happened in quarter 4 and quarter 1, 2022. As I can't report on some of the -- I guess, some of the decisions that have been made, I'm very excited to soon announce some of the partnerships where we will have listings very soon, and I look forward to those announcements.
Janet Meiklejohn: And I think this one probably goes to you as well. But what is a very good plan for pricing products in the future? The premium price seems to be a big barrier to wide-scale uptake.
Kevin Callaghan : Our strategy remains the same. The premium price compared to other meat alternatives, I think it is very much in line with whole food ingredients and our strategy of creating a premium product, does have, I guess, a premium price in to assay. So I think there is no change in strategy at this time.
Janet Meiklejohn: Okay. Great. Jordan, any feedback on the UK or China's marketing testing -- market testing?
Jordan Rogers : Yes. I think we took an exploratory approach in terms of looking at those markets to see where the opportunities were for us. At this current time, we have decided to put a pause on those opportunities and really dig into the North American expansion and lower hanging fruit at the time.
Janet Meiklejohn: Great. Thank you. Steve, this one, this is over to you. Does the company know how long its current runway is before it requires a further round of financing or feel like it can improve profitability enough to avoid that result?
Steven Hoang: Certainly, as a growth company, there is a need for capital. Although this should go along the way to getting us there as path to profitability, it will all be this year. As far as financing, we are certainly looking at all options, including certain debt facilities, but it really depends on the current market conditions.
Janet Meiklejohn: Thank you. Here's another tricky one, Jordan, I'm going to hand it over to you from a private investor, why was the CEO fired?
Jordan Rogers : Yes. Thank you for that question. We're not in a position to discuss employment. All I can say is that it was a strategy change.
Janet Meiklejohn: Great. And again, Jordan, this is probably over to you as well. How can Very Good Food expand their market share and at the same time, cut operating costs?
Jordan Rogers : I think we've done a lot of heavy lifting in terms of investing in our CapEx and facilities to get us there. So I think we're coming out of that heavy lifting that we've done and that excites me as we chase down a lot of opportunities that we have in front of us right now.
Janet Meiklejohn: Great. Thank you. So Kevin, I'm going to send this one over to you. And so the question again from a private investor is are fast food chains off the table now?
Kevin Callaghan : I would say that we're seeking out any opportunity or that fits the basis of our company and what we believe in. We hired Michael as our Foodservice Director and him to set the path of our foodservice strategy. So as we investigate these channels, we'll have to investigate the opportunities and what's best for the company.
Janet Meiklejohn: Great. Thank you. I think again, over to -- it's either between Jordan or Kevin. But what does the company see as the biggest opportunity for growth over the next fiscal year? Is it mostly from wholesale, number of locations? Or are there other opportunities? Kevin, that's probably you.
Kevin Callaghan: Absolutely, absolutely. Our focus is U.S. retail for 2022. That is going to be where a lot of our resources are geared to. Very Good Food Company creates products that can fit multiple categories and have multiple uses. There's a lot of value there. So in terms of growth, as of right now, U.S. wholesale will be the main growth for 2022.
Janet Meiklejohn: So here's one for Parimal that's quite straightforward. What are we producing in Patterson and Rupert as of right now?
Parimal Rana : Sorry, can you repeat the question?
Janet Meiklejohn: Sorry, what are we producing -- what are you producing at Rupert at this particular moment?
Parimal Rana : Thanks for the question. Rupert produces a line of select items, which includes the meatballs, the bangers, the burgers as well as legacy products, steak, ribs, hot dog, British Banger, Smokin' Banger, pepperoni and the two burgers. And Patterson is currently producing 1 item, and that's the Taco Stuff’er.
Janet Meiklejohn: Okay. Great. Jordan, I think it's at you. What is the status of the previous founders as shareholders of the company and what influence do they have on the Board composition and appointment of senior management?
Jordan Rogers : Yes. Thanks, Janet. I think that is a question we're seeking to understand and learn better internally, and we'll be in a better position to provide some more information at a later date.
Janet Meiklejohn: Great. Another question from a private investor. I'm not sure who takes this. But are you going to continue to expand the Meatball line to get you into new accounts since it won taste awards such as making the sweet and sour meatballs.
Jordan Rogers : Yes, I'll take that one. So the Meatballs won a NEXTY award. The NEXTY award is an award given out to an exceptional product at Expo West in Anaheim, California. The Meatball is a fan favorite, and we continue to see same-store sales growth on the product. We also feel it is a everyday product with a lot of versatility and we're excited about the prospects for it.
Janet Meiklejohn: Great. And again, we touched on this question at the very beginning. So I -- and obviously, it hasn't been completely cleared up. So I'm going to throw out a similar question from another investor. There hasn't been any mention on product development, more SKUs. Is there a search going on for an R&D officer and what is currently in the pipeline."
Jordan Rogers : Yes. I'll take that one, Janet. So as I mentioned earlier, our focus on short-term priorities while renovating our core portfolio, we have an exceptional team, a very talented back-of-house chef and individual who has a deep restaurant development experience, not to mention a solid R&D team led by Celeste Trujillo, who is formerly of Daiya and we're confident in their ability to take us forward and where we need to go.
Janet Meiklejohn: Thank you, Jordan. And I think back to you again. Is the strategic review and options to be bought out with a larger company in the space being explored?
Jordan Rogers : Yes. Thank you for that question. I think that's something again, we're looking to understand better internally, and we can provide more information at a later date.
Janet Meiklejohn: And Steve, as the company has been able to scale up production, have the gross margins had a noticeable improvement?
Steven Hoang: Yes. So that's -- so, thank you for the question. That's definitely something that we see in Q3 and Q4 with the scale-up of the Rupert facility. We've seen an increase in gross margins over the last couple of quarters.
Janet Meiklejohn: Okay. And I think the -- and we're pretty much running down on questions. So if anybody else wants to get them, please go ahead now. But Steve, at this point in time, this is the last question. What are the projected timelines for breakeven and return to profitability? Is there a year by which we could expect this to occur?
Steven Hoang: Yes. Thank you for the question. Again, the team is still evaluating all forecasts just to show in the breakeven time at this moment.
Janet Meiklejohn: Great. So I'll just -- I'll give it -- a few seconds here, I'm just going through the last question. I think at this time, I think all of the questions that have been -- oh, okay. Here's -- okay, here's -- oh now, they're all coming in. Okay, sorry about that. So another one from a shareholder. Steve, I think this is for you. What is the CEO compensation plan? And is it tied to the stock price? And if not, why?
Steven Hoang: As of right now, I don't have any insights into the CEO compensation plan. But again, we'll update or it will be posted and filed accordingly.
Janet Meiklejohn: How many -- Parimal, this is for you. How many production shifts are running now?
Parimal Rana : We are currently running 2 production shifts in Rupert and 1 production shift in Victoria and Patterson.
Janet Meiklejohn: And then Jordan, this might be a good question to say, from an investor is for us to wrap up on, which is what can you say to give investors confidence to continue to invest in your company?
Jordan Rogers : That is a great question to end this session, and we really take a heart at these questions and appreciate them. So thank you. I think the fact that we have amazing products that taste great, that have really been validated in the market through same-store sales growth with authentic ingredients. And as climate change and world issues become more precarious, our brand offers a solution to our consumers, and they continue to validate it. So I'm really excited with our great products. And also what we have in the R&D pipe, which has generated a lot of retailer excitement. And I think we're really just getting started yet. We have a lot of work to do. And we're excited to have everyone on this very good journey with us.
Janet Meiklejohn : With that, I think we'll close out this call. Operator, could you help us with that?
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.